Operator: Good day, and welcome to the June 2021 Quarter Financial Conference Call. At this time, I would like to turn the conference over to Tina Correia, Corporate Vice President of Investor Relations. Please go ahead.
Tina Correia: Thank you, and good afternoon, everyone. Welcome to the Lam Research Quarterly Earnings Conference Call. With me today are Tim Archer, President and Chief Executive Officer; and Doug Bettinger, Executive Vice President and Chief Financial Officer. During today’s call, we will share our overview on the business environment, and we’ll review our financial results for the June 2021 quarter and our outlook for the September 2021 quarter. The press release detailing our financial results was distributed a little after 1 o'clock PM Pacific Time this afternoon. The release can also be found on the Investor Relations section of the company’s website, along with the presentation slides that accompany today’s call. Today’s presentation and Q&A includes forward-looking statements that are subject to risks and uncertainties reflected in the risk factors disclosed in our SEC public filings. Please see accompanying slides in the presentation for additional information. Today’s discussion of our financial results will be presented on a non-GAAP financial basis, unless otherwise specified. A detailed reconciliation between GAAP and non-GAAP results can be found in today’s earnings press release. This call is scheduled to last until 3 o'clock PM Pacific Time. A replay of this call will made available later this afternoon on our website. And with that, I will hand the call over to Tim.
Tim Archer: Thank you, Tina, and welcome everyone. Our June quarter results reflect continued strong execution across our systems and services businesses. The quarter came in well above expectations with record revenues of $4.15 billion and earnings per share of $8.09. We also generated record cash from operations in the quarter of $1.4 billion. The June quarter marked the end of Lam's fiscal year, and despite a challenging operating environment, we delivered the highest revenue in the company's history. Compared to the prior fiscal year, revenues grew more than 45% to $14.6 billion. Earnings per share increased at an even faster pace to a record $27.25 in fiscal year 2021, more than 70% higher than in fiscal year 2020. The demand environment for semiconductor equipment remains strong. And we now see wafer fabrication equipment spending in calendar 2021 trending above $80 billion. While absolute WFE spending levels have risen to new highs, we remain confident in the health and sustainability of the industry at these levels. Wafer fab equipment spending as a percentage of semiconductor industry operating profit remains within historical ranges, and semiconductors continue to enable critical technology transformations such as AI, 5G, high performance computing and IoT. We believe, robust semiconductor demand, rising device manufacturing complexity, and strategic regional investments are powerful drivers for multi-year WFE spending. By device segments, we see strength across NAND, DRAM and Foundry/Logic in calendar 2021. Against the backdrop of broad demand, increasing device manufacturing complexity plays well to Lam's strength in critical applications, and continues to create new growth opportunities. Looking at the past five years, as manufacturing complexity increased in NAND with the transition to 3D, Lam gained over six points of share of WFE in this segment, and leads the next closest supplier by about eight points of customer spend. In the June quarter, we secured another win for a critical deposition application, and are now the tool of record for all NAND manufacturers for this process. Instrumental to our success has been the differentiation afforded by our quad station chamber design. Our multi station architecture refined over many years, allows us to use sequential processing to precisely tailor film properties to meet the needs of next generation devices without compromising the productivity required for high volume NAND, DRAM and Foundry/Logic manufacturing. Another example where we believe we are well-positioned to benefit from rising complexity is through our enablement of higher quality surface conditioning. Surface properties have been shown to greatly impact device performance. And existing surface preparation methods are in many cases insufficient to meet the stricter requirements for new materials, and tighter dimensional control at advanced nodes. For the Foundry/Logic segment, we recently introduced a range of novel, selective edge strip and surface treatment solutions that use our ultra-high selectivity, zero damage process capability to remove unwanted materials with minimal impact to other layers. We are gaining significant momentum with this new approach, with multiple Lam tools selected by a large customer in the June quarter, as tool of record for leading-edge applications. We plan to share more details on this innovation in the near future. Additional opportunities for Lam are being driven by the need for higher pattern fidelity, as Foundry/Logic pitch tolerance is tightened. For extremely small features, the relationship between change in resistance to change in dimension is exponential, therefore necessitating an extreme level of precision in device fabrication and advanced nodes. Even small variations in pattern roughness can degrade RC and transistor speed. In response, we have developed edge solutions such as our RF plasma pulsing capability to reduce line roughness by up to 30%. This technology has proven to be a key enabler for many critical edge applications. And when combined with our proprietary uniformity and RF power solutions, has helped Lam maintain our overall market-leading position in multi patterning edge. As the industry transitions to even more demanding EUV patterning, we are seeing success applying these technology solutions to win new EUV patterning steps. Solving complex scaling challenges including transitions to 3D structures in Foundry/Logic and DRAM will not be accomplished without deeper collaboration across the ecosystem. Our customers are increasingly highlighting the need for closer partnerships with the equipment industry, to meet their overall device performance and cost roadmaps. As a result, we continue to expand R&D investments closer to customers, with the aim of accelerating new application development, shortening cycles of learning and strengthening our understanding of the customer's most difficult problems. In addition to these regional R&D investments, I am pleased to announce that we recently shipped our first modules from our new Malaysia factory. This new facility adds resiliency to our global manufacturing network, creates capability closer to key customers and supply chain partners, and provides us with urgently needed capacity to support our continuing growth. I would like to acknowledge the tremendous efforts of the Lam employees and partners that completed the Malaysia project on time, despite the challenges of the COVID-19 pandemic. In our customer support business, June quarter revenue growth again outpaced growth in chamber count. Our service upgrades and reliant businesses all delivered record quarters. Reliant has now shown growth for 10 consecutive quarters, driven by strong investments in power, CIS and non-leading edge foundry. We achieved in the quarter a key edge penetration, and one of the top 5G RF providers, exhibiting our technical leadership in this space. Also, the spares team executed a major contract and a key customer in Asia, which secures a stream of revenue from our installed base. While, quarter-on-quarter CSPG growth rates can vary based on customer investment patterns, we are very well-positioned to deliver strong calendar year growth with a portfolio of products and services focused on our customers' operational success. We are increasing the productivity of our customers tools and extending the life of their equipment, which contributes to lowering the overall environmental impact of semiconductor manufacturing. On the topic of sustainability, I would like to share a few highlights for the company. In June, we released our annual environmental, social and governance report. I am very proud of our organization's efforts last year to support the needs of the communities in which we work and live, to keep our employees safe to the COVID-19 pandemic and to advance inclusion and diversity across our global workplace. This year's report introduced our goals of operating on 100% renewable energy by 2030, and achieving carbon net zero by 2050. We are driving innovations in product and process solutions in support of our sustainability objectives. For instance, our new Sense.i etch platform improves power efficiency, and requires less aluminum raw material for tool construction. Our new drivers this technology uses five to 10 times less chemistry, and two times less energy than the current process of record. Our parts cleaning, repair, refurbishment, and recoding services are enabling more reuse and lessening waste. These solutions drive sustainability and make Lam products more competitive in the marketplace. I encourage you to check out our report on our website to learn more. So to wrap up, we had an outstanding quarter and fiscal year. Most importantly, as we look to the future, we see rising device complexity and continuing transitions to 3D architectures driving growth of the Lam. Thank you all for listening today. Now here's Doug.
Doug Bettinger: Thank you, Tim. Good afternoon, everyone, and thank you for joining our call today on what I know is a very busy earning season. As the world continues to face challenges with the pandemic, I hope you and your families have been safe and healthy since we last spoke with you. Lam continued to deliver outstanding performance with record quarterly revenue, operating income and earnings per share in the June 2021 quarter. Our revenue, gross margin and operating income came in at or above the midpoint of our guidance, and earnings per share were above our guidance range. We're extremely pleased with our operational execution. And we thank all of our customers, suppliers and employees for their dedication and support. Our revenue for the June quarter was $4.15 billion, represented an increase of 8% from the March quarter. We had record revenue in both our systems and our customer support business group. Now I'll turn to the details on systems revenue. The memory segment continues to be an area of strength for Lam and represented 59% of systems revenue in the June quarter. The NAND segment concentration was essentially flat with the prior quarter at 49% of our systems revenue, and again hit another record level in terms of revenue dollars. We saw customer investments in both capacity ads and conversions with spending primarily on 128 layer class devices. In the DRAM segment, we had 10% of our June quarter systems revenue versus 14% in the prior quarter. The DRAM investments were concentrated mainly in the 1z and 1-alpha nodes. And I would just mention, we do see DRAM spending strengthening into the second-half of this year. For the Foundry segment, we had our second consecutive quarter of record revenues, coming in at 35% of our June systems revenue, as compared with 31% in the March quarter. Foundry spending is occurring in both leading-edge and mature technologies to meet the end demand for various market drivers like AI, 5G in gaming, as well as specialty chips needed for things like IoT, image sensors and power devices. And finally, logic and other contributed the remaining 6% of systems revenue in the June quarter, which was essentially flat to the prior quarter percentage. Now, looking at the regional profile of our total revenue, the China region came in at 37% of our total revenues, up from 32% in the March quarter. The spending profile for the China region was generally balanced between the domestic and multinational customers with their fabs that are located in China. The Korea region also continued to be very strong in the June quarter, representing 30% of revenues. CSPG which is our installed base business came in at nearly $1.4 billion, which as I noted is another high point for this group. The revenue level is an increase of 6% from the March quarter and 49% higher than the same quarter in 2020. All of the sub segments of this business are delivering excellent performance. The reliant product line, that serves specialty market, upgrades where we're extending the life of our customers tools, as well as spares and service, that are supporting the high industry utilizations. All sub segments strongly contributed in the quarter. So let me shift to profitability, June quarter gross margin was 46.5%, right at the midpoint of the guided range. I'll remind you that our gross margins fluctuate quarter-to-quarter due to overall business levels, along with customer and product mix. I would mention there continues to be elevated air freight and logistics costs due to the COVID environment impacting us in the current quarter, which are also reflected in the September quarter guidance. Operating expenses for June were $574 million, slightly higher than the prior quarter. You may note in our earnings release, that we did incur a charge during the quarter of approximately $6 million related to an asset impairment of the product line that we're shutting down. This charge was excluded from our non-GAAP operating expenses. We've demonstrated our ability to scale a company profitably, as we've continued to decrease operating expenses as a percent of revenue. I'll also note that we've continued to prioritize R&D spending to ensure that we have the resources to continue to build on our technically differentiated leadership positions, and we've maintained an emphasis on R&D spending, and it continues to represent approximately two-thirds of our operating expenses. June quarter operating margin showed solid performance coming in over the midpoint of our guidance range at 32.6%, reflecting strong gross margin and operating expense management. This operating income percentage represents an all-time high watermark for Lam Research. Our non-GAAP tax rate for the quarter was 12.6%, generally in line with our expectations. As we’ve noted in prior call, our tax rate will fluctuate from quarter-to-quarter. We expect the ongoing tax rate to be in the low teens level for the 2021 calendar year. And I would just mention, we're continuing to monitor potential tax changes that are under discussion in the current United States Administration. Other income and expense was approximately $23 million in expense, which is lower than the prior quarter as a result of a $30 million market gain in one of our venture capital investments. As we previously noted, OI&E is subject to market related volatility that could cause a difference from any typical run rate. And also just to remind you, beginning in the March quarter of 2020, the benefits and costs of our employee deferred compensation plan are no longer mismatched in our non-GAAP results. This mismatch was $17 million for the June 2021 quarter. And if you're interested you can see the details in the GAAP reconciliation tables in the earnings release. Now, let me shift to capital return, we paid $185 million in dividends and allocated $440 million towards share buyback. This is in line with our long-term capital return plans of 75% to 100% of our free cash flow. Earnings per share came in at $8.09, above the guidance range. The outperformance is due to the higher revenue and expense management, as well as the favorability, I noted in OI&E. The diluted share count balance was down slightly from the March quarter level coming in at 144 million shares. During the June quarter, we redeemed the remaining 2041 convertible notes, which I'm happy to tell you is the less convert that was in our capital structure. Let me shift to the balance sheet, cash and short-term investments, including restricted cash totaled $6 billion, which is flat with the prior quarter. We had record performance in the June quarter for cash flows from operations, which came in at $1.4 billion. During the quarter, our cash generation was deployed the pay down of $800 million of senior notes that were due in June, as well as cash outlays for the capital return activities that I mentioned. Day sales outstanding was flat to the March quarter at 66-days. Inventory turns were up slightly from the prior quarter level coming in at 3.3 times. June quarter non-cash expenses included approximately $56 million for equity compensation, $60 million for depreciation and $18 million for amortization. We're investing in increasing our capacity and support of customers. And as a result, capital expenditures for the June quarter were up from the March level and came in at $105 million. We have investments occurring around the globe with our new Malaysia factory, which is formally opening this quarter, expansion in our U.S. critical spare parts facility in Ohio, and R&D investments in our new Korean lab facility. We expect to see somewhat elevated levels of capital expenditures in the remainder of calendar year 2021, as we support these growth initiatives. The headcount level ending June quarter was approximately 14,100 regular full time employees. Resources have been added in our factories and in the field, to meet the increased output levels and to support customers in their technology evaluations, as well as tool installation requirements. My final commentary to touch on for the June quarter is a follow-up in the ESG space, which obviously is strategically important for Lam Research. In June, we extended and upsized our revolving credit facility to $1.5 billion. We transitioned this facility to a sustainability linked revolver, which includes a pricing structure that is linked to certain performance metrics for energy savings, and employee safety. In addition to the ESG focus areas that Tim noted, this credit facility is further demonstration of our commitment to integrate ESG principles into all aspects of how we operate as a company. So now looking ahead, I'd like to provide our non-GAAP guidance for the September 2021 quarter. We're expecting revenue of $4.3 billion, plus or minus $250 million. Gross margin of 46%, plus or minus one percentage point. Operating margins of 32%, plus or minus one percentage point. And finally earnings per share of $8.10, plus or minus $0.50, based on a share count of approximately 143 million shares. We continue to maintain a widened revenue range, as we work to mitigate ongoing output challenges in our global supply chain. These supply chain challenges are also driving a modest headwind in our guided gross margin. Customer demand continues to look strong in the second-half of 2021 as well as into next year. Lam is operating at record levels of financial performance, as a result of the tireless efforts of our operational organizations and supply chain partners. We continue to progress on our longer-term share gain objectives, with investments in new platforms like Sense.i and dry resist. We'd like to thank the company for rising to the challenge and delivering on these objectives. Operator, that concludes my prepared remarks. Tim and I would now like to open up the call for questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from John Pitzer of Credit Suisse.
John Pitzer: Yeah, good afternoon, guys. Thanks for letting me ask the question. Tim, notwithstanding your comments and your prepared commentary about still feeling comfortable with the industry is spending at healthy levels. We're also here it's all too seductive to kind of look at where your NAND quarterly revenue run rate is today, and go back and look at where that peaked in ’18 to see that its higher. And I guess maybe you can help us out if you think about just the overall growth in complexity of NAND since ’18, and I guess more importantly, your market share gains. How do we look at this number the June quarter and compare it to sort of a 1.287 you did in the March ‘18 quarter?
Tim Archer: Yeah, it's obviously a question that we spend a lot of time thinking about. And I think you've hit on the most important point, which is what does it meant for Lam to see not only the transition to 3D, which I gave some elements of how it changed our position in terms of share of WFE over the last five years. That was my comment over six points of share gain of WFE. But more importantly, what are we doing going forward to ensure kind of durability in this business, meaning defending the positions we've worked hard to gain, but also benefiting from the complexity that's occurring because of layer scaling. And that's really our product focus. And so maybe to talk about complexity, number of layers increasing clearly is driving a strong demand for the tools that deposit those film stacks, etch the holes in those film stacks, and backfill them with the metallization. Those are the strongest positions Lam has within NAND. And we feel extremely good about there our defensibility of those positions. But even those are seeing changes. And so it's different materials, for instance, to reduce line resistance. We're seeing new opportunities for new tools. We talked about the vector DT dealing with stress issues as layer count increase. Those things didn't exist, just that application didn't exist just years ago. We're seeing the transition to ALV gapfill again, that application did not exist as an ALB film, and therefore not within Lam's wheelhouse at the last peak. And so, not only have we grown our existing positions, because the more layers, we've actually added more critical steps to the process. And I think it bodes well. At every peak, our goal is to expand our serve market in a way that if we come out stronger and bigger peak to peak.
John Pitzer: That's helpful. And if I could follow-up, Doug, in your commentary, you talked about expectation for DRAM growth to accelerate from here. I think year-to-date, you guys are up about 13% versus the same period last year. You've had guys like ASML talk about DRAM CapEx being up as much as 60% for them. Now, clearly, they're benefiting from some easy assertion, but any numbers you can put around by how big of an acceleration do you expect in the back-half of the year?
Doug Bettinger: Yeah, John, I'm not going to quantify it, because I never do when we're looking in the on segments, but it's going to grow nicely in the second-half. It's going to grow nicely because of our patterning positions. And, I feel really good about the trajectory when I look into the second-half for DRAM. It's going to be a good second-half. Let's leave it at that.
John Pitzer: Perfect. Thanks, guys.
Doug Bettinger: Thanks, John.
Operator: Thank you. We'll take our next question from C.J. Muse of Evercore.
C.J. Muse: Yeah, good afternoon. Thank you for taking the question. I guess first question on gross margins. Doug, can you give us a little more granularity on what's driving the headwind sequentially? And I guess, as part of that, would love to hear how we should be thinking about the ramp of Malaysia capacity and the impact of gross margins over time?
Doug Bettinger: Thanks for the question, C.J., I expected this one pretty quickly in the call. Listen, when I look out over the next quarter there's challenges in the supply chain. And some of those challenges as we work to mitigate them requires incremental spending. When I look at what happened in June and what happened in September, maybe the incremental downtick in gross margin is primarily a result of that. So that's one thing to kind of put in the quiver there a little bit to think about, as we go forward. We'll work our way through that. It'll get better over time. It'll also get better over time, as you rightly asked about as we ramp Malaysia now, right now, when I look at Malaysia in the September quarter, it's not a benefit to gross margin, because we're too early in the ramp of that facility. You got the fixed cost sitting there and you got startup costs. So that actually is driving a little bit of a headwind right now too. And over time, that headwind will shift to a tailwind as we get the benefit of the Asia-based cost structure. So, I look forward. We've got trajectory and gross margin that will get better over time. And really, right now, we're just dealing with supply chain as we work to mitigate some of the challenges that we see out there.
C.J. Muse: That's great. And as a follow-up question, I guess, perhaps, could you provide a little more granularity on Reliant? It certainly sounds like trailing edge demand is robust this year, but also should be robust for some time. So we'd love to hear your thoughts on how we should be thinking about the contributions there over time.
Tim Archer: Sure. I don't think we're going to quantify Reliant itself, but what we can tell you is, as you pointed out, the specialty technologies, these trailing edge foundry extremely strong. In fact, you hear from many in the industry, that's where a lot of the chip shortage exists today, and so that is an area that’s seeing tremendous growth. But in many ways, the growth in that area has also been limited by the ability of those companies to ramp and equipment to get out to them. And, I would fully expect that that's an area of trailing edge foundry that continues to ramp strongly really on into 2022 and maybe even beyond.
Doug Bettinger: And C.J., I just remind you, if you remember back at our Investor Day in March of last year seems like so long ago, but we talked about a viewpoint that we still have today that the trailing edge or the Reliant exposed WFE grows two to three times faster than overall WFE. And that's still how we see things.
C.J. Muse: Great. Thank you.
Tim Archer: Thanks, C.J.
Operator: Thank you. We'll take our next question from Timothy Arcuri with UBS.
Timothy Arcuri: Thanks a lot. Doug, I know you've seen the headlines in China, as to some delinquencies from some of your biggest customers and some of the debt that they've be faulted on. So I'm just wondering whether that's having any impact for you, whether there's anything that you're doing there, whether you're seeing anything that's getting pushed out, or any project timing that's changing?
Doug Bettinger: I guess, I'd say two things, Tim. Obviously, in a situation like you're alluding to, first thing I do is get on phone and talk to my guys in China to make sure I understand what's going on. I'm comfortable with where we sit today. I will tell you that most of the business we do with customers in the China region are under letters of credit. So its money is good. We know its money is good. So that's one thing I'd also have you think about. In relative to the plans of our customers in China, I got to be careful about talking about a specific customer, Tim. But we haven't seen any change in anybody's plans as a result of anything.
Timothy Arcuri: Cool. Thanks. And then I’ll ask the same question as last quarter, this mass that you gave the $70 billion over five years to add 35% bit growth, which was like $15 billion a quarter, and then you gave the number of every $350 million as another 100 basis points. So if you sort of look at where NAND is running right now, you just sort of conclude, well, maybe you're adding more like mid 40s bit growth. But I know you've also said, hey, those numbers don't really hold anymore, because capital intensity has gone up as well. So I wonder if you've had time to put pen to paper on maybe brushing up those numbers, if we can try to correlate where we are back to bit growth? Thanks.
Doug Bettinger: Yeah. Tim, I'm not really on the phone right now to update any of those longer-term numbers, that would be something we do on I don't know, an Investor Day kind of format, which we will do at some point in the future, I think. And you're right, the observation that over time, capital intensity grows in that device architecture and NAND. And when we gave those numbers that were kind of broad averages over long periods of time to try to be helpful, and it's not a static number. So I agree with you, we do need to update it, I'm not ready to do it on the call right now. But like Tim said, we're pretty comfortable with the strength and investment in NAND. It looks pretty rational to us. And it's going to be a good year for investment in NAND. And actually, I think next year is going to be a pretty good year too, Tim.
Tim Archer: Yeah, if I can just add something, Tim, I mean, while I agree with the comment, and we made it that the rising capital intensity probably means those numbers need to be updated on the absolute basis. I want to point out, as the layer count increases and complexity increases, we're taking actual share as well, meaning we're converting applications that had previously been done with older legacy technologies. And we're moving those over to newer technologies like ALB. So we're actually winning new applications as well. So even within whatever that new number is, we're benefiting from an expansion of spending per bit added, but also from actual application wins. And we pointed one out that, it's been a pretty big deal for us, which is the conversion to ALD for dielectric gapfill. So I think, it's another point being Lam’s strong positioning and close collaboration with customers in the space really does give us great insight into what those next application opportunities are for our company.
Timothy Arcuri: Thank you.
Operator: Thank you. We'll take our next question from Krish Sankar with Cowen and Company.
Krish Sankar: Hi. Thanks for taking my question, I have two of them. Firstly, for Tim or Doug, just a follow-up on the NAND. I think you articulated it pretty well compared to the prior peak, clearly the layer count has gone up, capital intensity has gone up, and also the market share has up. I'm just kind of curious when you look to like, the 2018 peak versus today, if I just dig one level below, can you just say the mix of dielectric and conductor etch trend versus today. Because it seems to me that dielectric etch process times have gone up, that's also a big factor in it. So I'm just kind of curious, is that right? And if so, is there a meaningful difference in the split between dielectric and conductor etch for Lam, in NAND today versus in 2018? And then I have a follow-up?
Tim Archer: Sure. Well, a number of things have changed demand. As you mentioned, the dielectric etch is fundamentally tied to – and its process time is fundamentally tied to layer count. So clearly, it's scaling pretty dramatically as layer counts grown. The other element you find process time is relative to consumables, and therefore growth in our installed base business as well, which also scales nicely with layer count growth. So there are a number of changes, but the sure dielectric etch plays a very critical role in reading that layer count expansion.
Krish Sankar: Got it. [indiscernible] on the Sense.i etch platform, the smart platform that you have, I'm just kind of curious as you roll out the platform, is there, do you think that installed base advantage, since customers have to look at Sense.i why don't they look at another platform like a SEM-T [ph] or whatever it might be? So, would Sense.i actually be a slight negative for you, given the fact that your installed base advantage [indiscernible]?
Tim Archer: Well, I mean, there's two elements to what makes a great tool. One is the platform, one is the process module technology. And so I think that when we're enhancing the platform capability, adding all of this equipment intelligence, we're certainly not giving up the incumbency power that's been developed. I mentioned, even today, proprietary RF systems, proprietary uniformity solutions, the new Vantex module that's on the Sense.i platform kind of marries up all of that equipment intelligence and use of data to make our market leading etch chamber even that much better. And so clearly, we thought a lot about the power of incumbency that if you stagnate, you also leave an opportunity for your competitors to catch up. And that's not our plan.
Krish Sankar: Thanks, Tim.
Doug Bettinger: Thanks, Krish.
Operator: Thank you. Our next comment comes from Stacy Rasgon with Bernstein Research.
Stacy Rasgon: Thanks for taking my questions. My first question, I wanted to ask about leverage, and I know operating leverage, and I understand what's going on with gross margins next quarter and everything. But as I look at the Analyst Day model, like the midpoint, I think was something like mid-33 and EPS on a $16 billion revenue number. You’re run rating revenue right now over $17 billion, which is the high end of that guide and your run rate EPS sort of below the midpoint of the Analyst Day guide. So I guess how do we think, I think EPS is like 10% below or even more. So how do we think about I guess the progression of operating leverage from here as we go forward? Like, even if revenues don't grow, should we think about -- what timeframe do we think about EPS kind of like reaching those kinds of model levels that you talked about not that long ago?
Doug Bettinger: Stacy, I would tell you that there's a revenue level component to the leverage, there's also a time element to it. The time element is dictated by some things like ramping a new factory in Malaysia that's got a better cost structure. It's also driven by mapping a new etch platform like Sense.i, that we think will have a better profitability profile than the one before it, because it delivers incremental benefit to it. So when I look at the leverage that we had in that model, I still feel quite good about it. When I think through and look at the time aspects of how we deliver the benefit, it is still the right way to think about it. The financial model we put out in March of last year is right when you think about the profitability opportunity for Lam.
Stacy Rasgon: Got it. Thank you. For my follow-up again, I want to hit on the NAND point again. Last quarter you were explicit about saying that you thought NAND would grow I guess half over half in the second-half. And you seem to be suggesting that pretty strongly for DRAM now, but you didn't. You weren’t explicit about NAND. But you also I think I did hear you say that you thought NAND would be in general strong this year would be strong next year. So do you still think NAND grows in the second-half of the calendar year, and I guess you sounded like you expect NAND in calendar ‘22 to be up from calendar 2021? Is that what you're trying to say?
Doug Bettinger: I'm not trying to really say anything about ‘22 with the exception that it looks like it continues to be strong. It is a qualitative statement I made. It's too soon for us to put numbers around ’22, Stacy. And when we look at WFE, so a quarter ago, we were talking about trending above 75. Tim now said, we see it trending above 80. I think overall, it's a second-half weighted WFE profile. DRAM looks solid in the second-half. Foundry/Logic looks pretty good in the second-half too. I think NAND, probably as I sit here today is more balanced half on half. And a quarter ago, we said look like it was a little bit second-half, I can still see that potentially happening. But there's some customer investment timings that might occur more in the first-half of next year. Right now, it looks kind of balanced half on half as we sit here today.
Stacy Rasgon: Got it. I guess that's still a couple quarters ago, you were saying those will be down. So you're kind of like dialing it in as we go forward.
Doug Bettinger: Yeah. I mean, as the year unfolds, obviously, we get better visibility to what's happening. And we're not halfway through the year. And if you include the guide for September, we're three quarters of the way through the year. So we just have better visibility on what's going on relative to timing, as well as the supply challenges the industry is having.
Stacy Rasgon: Got it. That's helpful. Thank you so much.
Doug Bettinger: Thank you.
Operator: Thank you. We'll take our next question from Harlan Sur with JP Morgan.
Harlan Sur: Good afternoon. Thanks for taking my question. Good to see the team ramping its new Penang systems manufacturing facility and unlocking a little bit more revenue capacity here in the second-half. My understanding is that the team is targeting $3 billion of potential annual systems revenue capacity by the middle of next year out of Penang, so a pretty meaningful part of your future revenue profile.  And I think the goal is also to source more raw materials, machining and other support services locally over the next few years in Malaysia, so all of this should provide the team with some pretty strong gross margin tailwinds. Was most of this tailwind encompassed in the 2023, 2024 target financial model? Or, is this a source of margin upside above your target if you grow revenues into this new facility over the next few years?
Doug Bettinger: Harlan, what I would say is we always knew we were ramping a factory in Malaysia. So when we put that model out a year and a half ago, it was comprehended. We knew how big the factory was going to be. We knew Lam would be ramping and so forth. So it was all in in terms of the profitability. And I kind of referenced that with Stacy's question. So, there isn't upside, but it is how we've continued to deliver leverage that we see. I don't know, Tim, if you'd add anything or want to add anything?
Tim Archer: No. And I think it's just that the current demand environment we're in today, that the ramp rate for Malaysia is a flat out. And while we haven't given any numbers for 2022, so I'm not sure where you got those. But clearly, we're ramping it. It will be a big facility for us and it will eventually take on a large position within our global manufacturing network.
Harlan Sur: Yeah, thanks for the insights on that. And then on some of the uncertainties on supply chain and therefore, slightly wider revenue range on the guidance. Your systems have very advanced capabilities, like compute, storage systems, complex sensor networks, our power circuitry graphics, user interface capabilities. Is the team being impacted by the chip shortages with some of your advanced platforms that have a lot of these processor memory RF type content?
Tim Archer: Harlan, when we start here, probably a quarter or two ago, we were thinking capacity constraints. We were really thinking about physical space and labor. And quite honestly, I think we've done a really nice job, expanded in our Livermore, California facility, our Oregon facility, Korea, as I just said, shipping from Malaysia. So that physical capacity, we're really starting to sort of free up. We've hired a tremendous number of people also across the globe. And now we're being hit with that next level, we have very complex supply chain. And you are right, chip shortages, shortages of other components as well. And because it can affect many different players within our supply chain, it's a little bit more unpredictable. And that's leading to some of the increased guidance that Doug spoke to. Again, I think that Lam is very proud of our ability to execute. And, I think these are issues that just everyday we're working through, and with time, we would expect that these just like for the rest of the industry will begin to be resolved.
Harlan Sur: Great. Thank you.
Doug Bettinger: Thank you, Harlan.
Operator: Thank you. We'll take our next question from Vivek Arya with Bank of America Securities.
Vivek Arya: Thanks for taking my question. The first one, I'm curious what is your estimate of China as a percentage of WFE this year versus last? Is it in line with what you thought at the start of the year? And have you heard of any potential restrictions on shipping to any Chinese customers from a U.S. regulatory perspective?
Doug Bettinger: Vivek, I’ll take and then Tim can feel free to add on. I think from a percent of WFE, probably fairly consistent. I mean, WFE overall this year is up nicely, China's up nicely, too. And we have talked about license requirements for one of our foundry customers in China. No new update for you there, Tim, unless you want to share something. But it doesn't impact anything else that we see going on in China.
Tim Archer: Yeah, we're actively engaged. As Doug said, we haven't seen significant movement on the licensing front. We will say we've seen the approval of a few licenses for spares and upgrades for mature technology nodes. So I guess if we were any update that we would say, some small progress, but we're here we're actively engaged with the licensing agencies within the government, want to ensure we're fully compliant with everything they have in place today, but also to be advocating for moving forward with additional approvals on the shipments that are pending.
Vivek Arya: And for my follow-up, you sound sort of optimistic about the growth opportunity for spending next year. I'm wondering of your markets, is there one market do you think that will have kind of a greater rise in capital intensity going into next year? Is it Foundry/Logic? Is it DRAM? Is it NAND? And conceptually, how does that impact your share gain potential as you look at next year? I realize you're not giving a specific WFE number. But let's say if you're in a growth environment, is there one market where you think given all the technology changes, that there is going to be a greater than average rise in capital intensity? Thank you.
Tim Archer: Sure. I guess, you can interpret from all the comments I've made about multi-year impact to WFE spending. We see strong regional investments, many places government supported, rising device complexity, and then actually, we think the demand environment still remains good overall for semis. So those are – we’re not giving 2022 right now, we don't see great clouds on the horizon. We see a lot of positives. When I think about different areas of opportunity for Lam, to your point about where my capital intensity be rising the fastest or maybe just spending, really think about Lam. And therefore, where's etch and depth really going to play a bigger role? Where does Lam have the opportunity? I see that across the board. We spent a lot of time on this call talking about NAND complexity. But, you're seeing 3D transitions, Foundry/Logic space gate all around, advanced packaging, very etch and depth intensive. Next year, if you're looking, I'm not saying it's flat WFE, but if you were looking at flat WFE, Lam’s opportunity would be growing in those spaces because of etch and depth capital intensity increases. And where we really are spending our time and effort this year, it is two places. Doug talked a lot about operational improvements, making sure we come out with infrastructure that's better off from that perspective. And what I tried to highlight was where we are investing in products so that as these transitions occur to 3D in Foundry/Logic and DRAM over the next several years, then Lam is going to be in the same position to benefit from those as what I highlighted happening for us in 3D NAND, and I think it's places I just talked about, selective etch, and things like dry resist, it's the position we have in high aspect ratio, etch and depth relative to 3D packaging. I would just say it's a very opportunity rich environment for a company like Lam right now.
Vivek Arya: Thanks very much.
Doug Bettinger: Thank you.
Operator: Thank you. We'll take our next question from Toshiya Hari with Goldman Sachs.
Toshiya Hari: Hi. Good afternoon. Thanks so much for taking my questions, I had two as well. I guess this one's probably for Doug. I think historically, you guys have spoken to your thoughts on DRAM and NAND supply growth exiting the year. I was hoping you can update us higher thinking about that exiting 2021 based on what you've shipped in the first-half and what your expectations are for the second-half, supply growth exiting the year relative to demand growth for both DRAM and NAND?
Doug Bettinger: DRAM, I think this year, supply growth is still going to be below where demand growth is. I think, pretty well chronicle from the industry the demand for DRAM bits is probably 20, low 20s. I think supply is probably high teens approaching 20 in DRAM. I think on the NAND side, probably more imbalance. I think supply demand mid high 30s. It feels fairly balanced for the year in NAND.
Toshiya Hari: Got it. And as a quick follow-up, I wanted to ask a question about your opportunity in leading edge logic. I think in the past year, you've talked about your application wins. I guess, initially at 14, and how that's expanded at 10. And your expectation as we sort of eventually transitioned to seven. I guess, despite some of those comments, we haven't really seen that show up in numbers. And I realize you disclosed logic and others, so there's another component in that line. But, what are you missing? I think, I realized you don't want to talk about a specific customer. But that customer is ramping CapEx, yet we're not seeing the uplift in your numbers. Thank you.
Doug Bettinger: I think, I'd say two things. You've got this sort of right, 14 to 10. We've talked about a nice growth in application footprint. 5x is what we've described in terms of number of applications. And then that growing again, from 10 to seven, that's absolutely what we see happening. And I got to be careful talking about any one customer. I think, when you look at logic and other you're absolutely right, there is the other component in there and things like image sensor, and other logic devices, but also you have to think about the timeframe in which anyone customer is investing in technology, is it in a concentrated two or three quarters, or is it over a longer period of time. And if it's over a longer period of time, you won't see it in any one quarter. And so, I would encourage you to think about both of those things when you look at the logic and other stuff. And then I’d also suggest, I think logic and others is going to look pretty good in the second half also.
Tim Archer: Yeah. And I think the only thing I would add is, maybe we need to transition that story before a lot about progress we were going to make in action and the output. Now, we step up with a logic or logic and foundry basically similar devices, similar trends. As we move to gate all around our nano sheet structures, many of the products I talked about dealing with selective etch and the processes that are required to create those complex structures. The challenge is that foundry and logic customers at the leading edge see with RC and its impact, and therefore the need for evolving the metallization structure. We talked about dry resist and the potential to impact the cost performance of EUV at future nodes, not only current node, but also high NA. These are ways in which Lam is ensuring that we have the right product portfolio. So whether it's advanced foundry or advanced logic, whichever custom you might be talking about the -- we have very strong products to offer to help with those transitions. And so, I think over the years, our opportunity to engage those customers has just gotten stronger and broader.
Toshiya Hari: Great. Thank you.
Doug Bettinger: Thank you, Toshiya.
Operator: We'll take a next question from Joe Moore of Morgan Stanley.
Joe Moore: Great. Thank you. You got a couple quarters now the installed base business growing 50% year-on-year. And, we don't have a long time series of that. But I mean, is that -- I assume that's kind of a historically unusual growth rate. And, anything in that, that sort of makes you think, I think you mentioned last quarter people accumulating spares or inventory a little bit. Now obviously that's a growth a really good growth business and you've been vocal about that. But, is there any cyclicality when you start talking about these types of growth rates that we should be aware of?
Tim Archer: Yeah, I'll take that. I included in my prepared remarks one liner that said it was supposed to be hinting, please don't count on this kind of growth every single quarter quarter-on-quarter. There are components. And this kind of went back to the question about trailing edge foundry and how do we see that going forward. We don't see that abating. But that is an area where we're seeing tremendous demand right now, and eventually that may not kind of keep pace quite with the growth in the installed base. But the elements, you think about what's in there, spares continues to grow with installed base. And as we've seen this tremendous growth in installed base, that becomes a recurring revenue stream going forward, that really is just based on customers continuing to utilize what they've already bought. So we feel very good about that. So if there's one part that you might see a little bit of investment timing, in fact, it would be specialty technologies and trailing edge or non-leading edge foundry. But our near-term outlook for that remains quite strong.
Joe Moore: Thank you.
Doug Bettinger: Thanks, Joe.
Operator: Thank you. We'll take our next question from Patrick Ho of Stifel.
Patrick Ho: Thank you very much. Congrats on the nice quarter. Doug, maybe for you in terms of the component and supply constraints that you're facing. I know, there's a lot of moving parts. But what are you trying to do to kind of ‘mitigate it’? And I guess what I'm looking for is a little more detail. Are you working with additional suppliers? Are you working with your main component suppliers of getting those parts at a certain period of time? What are some of those, I guess, initiatives and efforts you're doing to try, I guess mitigate that situation?
Doug Bettinger: I think I’m actually going to give it to Tim.
Tim Archer: Yeah, I'm actually pretty close to this one. And what I would say is that there, maybe it's everything. When you have your major customers really clamoring for on time shipments, we're leaving no stone unturned. So, in some cases, it's working with different suppliers. But again, we have complex supply chains. And, in many cases, we're looking at where those suppliers have additional facilities in other parts of the world. So for impacted, say, by issues throughout the COVID pandemic, in one part of the world, we transition to that same supplier in different factories, and the parts of the world. That's usually the most expeditious means of getting additional supply. But at times, we are finding additional suppliers. We're also, I talked about refurbishment and recoding, and reuse. That's another area where we're working with customers to actually qualify refurbishment processes that allow us to shorten the time, so rather than having to procure brand new parts, for instance, we do a refurbishment and that part can go back in the machine. From the fewer parts you use within the installed base, more you have available for build forward out of your factories. And so, I would just say between us and the customers very close collaboration and collaboration of our supply chain partners are getting very creative about how to try to mitigate these risks. And it's many, many, many different things.
Patrick Ho: Great. Thank you very much.
Doug Bettinger: Thanks, Patrick.
Tina Correia: Operator, we have time for one more question, please.
Operator: Thank you. We’ll take our last question from Joe Quatrochi with Wells Fargo.
Joe Quatrochi: Yeah. Thanks for taking the question. I just wanted to try to understand the kind of updated WFE guidance and your commentary around NAND being maybe a little bit more balanced half on half. I guess, can you help me understand just what, I guess increased to maybe offset some of that, including going to over $80 billion for WFE? Was it just more Foundry/Logic? Or, is that your comments around DRAM being stronger? Just any comments there will be helpful.
Doug Bettinger: I think the practicality of it, Joe, is we're just further through the year. We're halfway through the year, we got pretty good visibility into the September quarter, because we just guided it. And so it's that right. It's an understanding of customers’ plans. It's an understanding of what we think the industry is going to be able to supply. We still see a second-half weighted WFE spending profile. We kicked it up somewhat as a result of this better visibility is what I would describe.
Joe Quatrochi: Okay. That's helpful. And then just a quick question on the services business, another quarter of a major spares contract win. I was wondering if you could quantify how much of your spares revenue is based on long-term contracts.
Tim Archer: No. Obviously we look at that a quite a bit. But I would say that a large portion of it, whether it's under long-term contracts, or it's in -- I talked about our complex supply chain. I mean, in many ways for spare parts, it's very similar, which means regardless of the length of contract, we tend to be the primary supplier for the vast majority of those spares. And so, I would say the majority of our parts are under contract, but then the length of contract we're not really ready to talk about at this point.
Joe Quatrochi: Fair enough. Thanks.
Doug Bettinger: Thank you, Joe.
Tim Archer: Great. Thanks.
Doug Bettinger: Okay, operator, I think that was our last caller. Tina, do you want to close this off?
Tina Correia: Yeah. Just want to tell everyone we appreciate your support, and thank you for joining our call today.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.